Operator: Welcome to the Copart Inc. fourth quarter fiscal 2008 earnings call. (Operator Instructions) For opening remarks and introductions I would like to turn the call over to Jay Adair, President of Copart Inc.
Jay Adair – President: Welcome to the fourth quarter earnings call for Copart Inc. for fiscal 2008 and the fiscal year. Before we start, I’d like to turn it over to Will Franklin for a brief update and then we’ll go ahead and do our introductory remarks and then open it up for Q&A. At this time, Will.
Will Franklin - CFO: Before we begin our discussion of our fourth quarter results, I would like to remind you that during this call we may make forward-looking statements within the meaning of securities law. These forward-looking statements are subject to risks, demands and uncertainties that may cause actual results to differ materially from those projected or implied by our statements and comments. For a more complete discussion of the risks that could affect our business, please review the management’s discussion and analysis and the factors affecting future results contained in our most recent 10-Q, 10-K and other SEC filings. With that Jay I’ll turn the call back over to you to begin discussion of our fourth quarter performance.
Jay Adair: We have a lot of information that we want to go over this morning, but I think what I wanted to start with was the catastrophe update with respect to Hurricane Ike and the Houston area. The hurricane hit on roughly Friday the 12th through the weekend and we did have a sale that Friday through VB2 at the existing Houston location. And then come Monday we had our catastrophe team hit the ground. We were up and running on Monday. We had to operate on generator power. We sent in our chief Operations Officer with the cat team. He was able to hook the facility up vise-vie satellite link to the home office so that we had access to phones and internet and our operating system, etc. So we had full office up and running and everything completed by the end of business on Monday the 15th. So that was really the good news. Since then we have shipped in fuel for trucks. We’re currently operating about 100 trucks in that market. We’ve shipped in additional generators in case we have failure there. As I think everyone’s aware we’re very knowledgeable on how to operate in a cat situation. We’re doing a great job. The team there is offering the traditional Copart legendary service and making sure that we have office space for all of our clients. We’re taking about 500 assignments a day, but we have plenty of space. We have 150 acre location in that market. Actually we’ll start selling off about 1,000 cars a week and I’m sure I’ll get asked on how many units we think we’ll pick up in this market. I really don’t know the answer. We’re doing about 500 assignments a day as I said. Galveston’s not open yet. So we can expect a few weeks of this I would think. This is a much more normalized cat situation than what we saw with respect to Hurricane Katrina in ’05. And the primary reasons for that are a sample. We’ve got a cat that obviously hit, but we’ve got people that are living at home. They’re showing up for work. The town is coming back. It’s not the kind of catastrophe that we saw in 2005 with so many people being homeless and utterly so many vehicles that were flooded. So this is probably going to carry on for a few weeks maybe a month as we talked about. At a run rate that we’ve discussed 500. Maybe it’s 10,000 cars, maybe it’s more. We really don’t know. The key is not so much that. The key is that we are there. We’ve got the right people on the ground. We’ve got the top senior executives from the company that are there working this cat every single day. They’ve been doing that for the last two weeks now. And we would expect Galveston to open up very soon. It is not open yet. And when Galveston opens up, then my guess is we’ll be picking up quite a few more vehicles out of that as well. We’ll probably end up processing a lot of boats as well in this cat. So that’s kind of the update as to what’s going on there. I can answer any other questions that we have in respect to Hurricane Ike. Looking at the company, we had a great year. Will will comment on some of the financial results for the quarter and for the year. I can just tell you a couple of highlight points that I think are worth talking about. Models driven are obviously down. Looking at May and June we saw this decrease of about 4% nationally. I think this is clearly from the increase in fuel costs. We’ve looked at fuel now, it’s nearly doubled in a period of about three years. And so increase in fuel causes a decrease in miles driven, causes a decrease in some frequency. At the end of the day I think it’s relatively small numbers. As we’ve said before, the nature of Copart’s business is such insureds have to drive, people have to get to work. So there’s probably a little less of that happening. I think that’s beginning to stabilize now because we have seen fuel kind of come back. It’s pulled back a little bit. Towing costs were up quarter after quarter. In the last year we’ve seen towing costs start to stabilize. Again the pull back in fuel, so I think that’s really the good news there. Again we’ll report quarter to quarter on those trends as we go forward. Looking at vehicles that are being sold within the company obviously we’ve been reporting on some of the non-insurance. We’ve got quite an initiative internally to push for non-insurance related vehicles. These would be franchise dealerships and other dealerships that have trades that really fit the sweet sport for Copart. We’re really, really good at selling that high-mileage older vehicle. We go in with the approach of let us sell that 100,000 mile unit. And then over time the dealer sees we’re also good at selling late-model vehicles as well. So it’s kind of go in with the approach of selling on the types of vehicles that a lot of liquidators don’t want and we do want because we do very well with those. And then kind of upselling to higher vehicles later on. And really that happens internally from the dealer on their side. In addition, we sell a lot more vehicles in the quarter for financial institutions as well. The prior quarter it was 83% insurance, 17% non-insurance and in the current quarter Q4, last quarter of the year, we finished at 81% insurance and 19% non-insurance. So that is great news. We’re excited about that growth. We’re also excited about some of the international sales that we’re seeing. Gross proceeds for the quarter sold to international [bars] was roughly 31% and in terms of units was approximately 25%. So we’ve seen an increase in these numbers and that’s been I think a great driver in same-store sales in the company. Obviously a higher selling price for vehicles from Q4 ’07 to Q4 ’08, so the average selling price for a car is higher. And then we’re seeing an increase in non-insurance growth, which incidentally sells for more than a typical damaged vehicle, which I think is pretty intuitive. I think that everyone understand that a non-damaged vehicle sells for more than a damaged vehicle. So that is some of the volume drivers within the company. In Q1 in fiscal ’09 we opened up a facility in Louisville, Kentucky. So we sit here today on the call with 144 locations, 143 for the year. At this time I’ll talk a little bit about the new stores that we opened up in fiscal 2008. We opened up six new locations. One of those was in Fayetteville, Arkansas servicing that northwest corner of Arkansas; Trenton, New Jersey; Walton, Kentucky which will service the Cincinnati, Ohio area; Birmingham, Alabama; and an additional location in Minneapolis, Minnesota; and then finally a location in Sikeston, Missouri. Looking at new stores for 2009, we have discussed this on prior quarters and we expect based on current zoning and availability and land that we purchased through the pipeline, we probably will open up somewhere in the neighborhood of ten locations in fiscal 2009. Talking about the UK for a minute, we have completed the integration of all of our locations. We have 12 facilities in that marketplace. We did do some right sizing of locations to achieve the optimal network. Again it’s all about having a facility that’s large enough to store enough vehicles that you can have a large enough sale in that market. And it’s also about being close enough to the vehicles so when we pick those vehicles up we can do that and reduce cycle time in such a way that we’re faster than anyone in doing that. Again our goal is always to pick up same day if possible, next day if not and so that our average pick-up time is less than 24 hours. And we’re achieving that today in the UK. And we want to continue to drive down those cycle times and be further competitive in that marketplace. BB2 in the UK is showing record sale prices again in Q4. We’ve referred to this in the past in the U.S. as the BB2 effect so it’s of no surprise to us to see increased returns in that market. That’s great news. We’re continuing to show that to our customers because currently we purchase the majority of the vehicles. We’re showing them the significant benefits, especially from a transparency perspective and from a calculation of “Should I total the vehicle or shouldn’t I?” It’s much better to have the transparent fee-based model where you’re deciding whether to repair or total the vehicle based on its actual value and not based on purchase numbers. We’re going through that. In the quarter we did convert one of our top five accounts from purchase over to fee-base and we’ll continue to see that trend in 2009, I believe. And in addition to that we will probably purchase a little bit more on the land side and potentially businesses in the UK just to further develop the network in that marketplace. Looking at stock purchase for the quarter the company purchased approximately 2.853 million shares in the quarter and finished the quarter with fully diluted shares outstanding at 87.4 million. If you adjust this as of the first day of the quarter, in other words we bought the stock on the very first day of the quarter, fully diluted EPS for the quarter would have been 85.3 million shares. So we’re excited that we’ve gone out and acquired additional stock and that we’re bringing this number down and we think that’ll be great for long term growth and improved EPS and of course, you know, we think we have a great future ahead of us in 2009. I’ll be reporting in Q1 some on some of the internet products that we’ll be releasing and you’ll hear from Will some of the comments about G&A that’s increased and some of the expenses that we’ve got there. We are investing in technology and infrastructure with respect to BB2 and I’ll be reporting in Q1 and Q2 on some of those products that we’ll be launching in the coming months. So a lot of good news, a lot of exciting things happening in the company. And at this time I’d like to turn it over to Will Franklin for an update on the financial review.
Will Franklin: In our fourth quarter consolidated revenue was $206.3 million, an increase of $52.3 million or 34% over the same quarter last year. In North America revenues grew by $19.4 million to $158.6 million. This is an increase of 13.9% which was driven by growth in same-store sales of 11.8%. Units from our insurance sellers has been affected by a decrease in accident rates resulting from higher fuel prices and reduced miles driven. We are pleased with the increase in units sold by our non-insurance sellers, specifically franchise and independent dealers, banks and finance companies, fleets and public sellers, and also with the success of our specialty sales. Insurance companies represented less than 81% of total units sold during the quarter as compared to 83% in the prior quarter. On an annual basis insurance companies represented 82, 84 and 87% of total units sold for the fiscal years of 2008, 2007 and 2006 respectively. During the quarter unit sales to our internationally registered customers was approximately 25%. In terms of value our gross selling price, sales to internationally registered customers, was almost 31%. During the quarter in North America gross proceeds per car and return percentages did not change materially from the previous quarter. In North America operating costs excluding depreciation for the quarter were $67.9 million an increase of $3.3 million or 5.2%. The growth was driven by an increase in volume of units processed as well as an increase in the cost to process each car. Growth in the per car processing cost was driven primarily by increased transportation costs due to the rise in the cost of fuel. Operations depreciation for the quarter was $6.8 million and the gross margin was $83.9 million. At the end of the quarter we had 131 facilities in North America, an increase of six from the end of fiscal 2007. We entered the market in the United Kingdom through a series of acquisitions. Universal Salvage which had seven locations was acquired in June of 2007. And accordingly we had some UK activity in our fourth quarter of last fiscal year. During this fiscal year we have acquired Century Salvage with three sites, AG Watson with four sites and Simpson Brothers with one site in August 2007, February of 2008 and April 2008 respectively. The activities of these acquisitions are reflected in our financials as of these dates. Our total cash investment in the UK is approximately $155 million. Once again we would like to point out that in North America we act primarily as an agent for the seller, re-marketing the car in his behalf. We are not considered the owner. For cars sold in this manner we recognize only the service fee in revenue. In the UK we operate primarily as the principal, purchasing the cars from the insurance companies and selling them for our own account. When cars are sold in this manner we recognize the entire amount of the gross proceeds as revenue and the cost of the car in operating expenses. During the quarter in the UK revenue was $47.7 million. Of the units sold 70% were purchase cars, down from 73% in the prior quarter. Also in the quarter we saw meaningful increase in the return percentage and in gross proceeds per car, which we believe is the influence of BB2 our internet selling platform. In the UK operating costs excluding depreciation were $43 million and included $29.4 million in the costs of purchased cars. During the quarter we took steps where possible to improve the efficiency of our network, reduce redundancies and to convert fixed costs to variable costs. As a result we determined that the most efficient network configuration required the consolidation of three sites which were initiated during this fourth quarter. At the end of the quarter we had 12 sites in the UK. The benefits from the elimination of redundant positions and the converting of fixed costs will be reflected in future periods. Operations and depreciation expense was $1.5 million and the gross margin was $3.2 million. Combined gross margin was $87.1 million or 42.2% of revenue. Consolidated general and administrative costs, excluding depreciation for the quarter were $18.8 million an increase of $3 million. The increase was driven primarily by programming and system resources added during the year as we are accelerating the development and enhancements of BB2 and to our seller interfaces. We also saw increases tied directly to the need for additional human and technical resources to support our international operations. General and administrative depreciation was $2.9 million and operating margin was $65.4 million or 31.7% of revenue. Income tax expense for the period was $27.2 million for an effective tax rate for the quarter of 40%. This included a $1.2 million negative adjustment for a sales tax issue that was resolved during the quarter. Due to the reduction in tax exempt interest going forward we expect the normal effective tax rate to be approximately 38%. Consolidated net income was $40.8 million and net income percentage was 19.8%. Our net cash was approximately $21.5 million. Accounts receivable, vehicle pulling costs and deferred revenue all declined as we sold off winter inventory. During the quarter we repurchased approximately 2.9 million shares of our own stock at a cost of $120.5 million or $42.24 per share. During the year we have repurchased approximately 6.6 million shares at a cost of $269.3 million for an average cost of $40.70 per share. We have approximately 15.4 million shares available under our currently approved share repurchase program. As a result of our repurchase program after cash return on equity on a trailing 12 month basis has increased to 17.8%. In the quarter we generated $53.3 million in cash from operations. Movement in the balance sheet contributed $2.2 million as reductions in accounts receivable were offset by reductions in payables and deferred taxes. The balance or $50.9 million came from net income plus non-cash expenses. Capital expenditures for the quarter were $26.4 million and included one lease buy-out. For the year we spent approximately $92 million on lease buy-outs and capital improvements. Of this approximately $43 million was for land, $35 million was for building and improvements, $4 million for computer equipment and $10 million for yard and transportation equipment. Finally, during the quarter we consumed $106 million in financing activities driven primarily by the share repurchase program. That concludes my comments Jamika. Now I’ll turn the call over to you to handle questions.
Operator: (Operator Instructions) Your first question comes from Robert Labick – CJS Securities.
Robert Labick – CJS Securities:
Will Franklin: Revenue grew because of increased revenue per car. Obviously that has a direct bottom line impact and improves our gross margin percentage. And that in fact is the case. We did have a nice increase in our revenue per car driven by a number of factors, including growth in our gross proceeds per car. In addition a higher percentage of our cars were non-insurance and as Jay said our non-insurance cars yield a higher return. And it’s pretty intuitive as Jay said. They’re generally not damaged. We don’t have the associated cost to haul the car in. And on the working capital side we generally don’t have an advance charge associated with it. And they have a much smaller cycle time. So to the extent that we change our mix we tend to enhance our gross margin percentage.
Robert Labick – CJS Securities: And then on the UK side could you discuss maybe broadly speaking about long term expectations? It appears obviously in the quarter you remained in the investment stage as you consolidated a couple of operations. In the past you talked about 15 to 20 locations. Where do you stand in the investment phase? When do you expect to reach your optimal profitability roughly? Six months? Twelve months? One year? And what are the next steps to get there?
Jay Adair: With respect to the UK Bob we can’t utilize small locations and some of the companies that we bought had extremely small locations that either won’t work or they’re too close geographically to an existing location. So that’s the reason for some of the consolidation. They’re down to total locations. I think 15 to 20 locations is still an accurate number. And I think we’re going to continue to work towards that goal in that marketplace. It really is all about being close enough to the vehicle and having enough capacity to pick it up quickly and then obviously store the vehicle. So we’ll continue with that. With respect to profitability there’s been to bring in four separate companies is a lot of work to do in a year. And anybody who’s ever done that before can relate to the just the sheer logistics involved in working in an environment with four separate companies, bringing the cultures together and converting. And then bringing in new systems and we’ve done that. So the full integration’s in place. The systems are in there. We’re heavily involved in the process of reporting the results daily of vehicles sales and how we’re looking at those. We look at results on a daily level in our business. So we look at the average selling price. And we look at the gross return percentages. And we’ll continue to do that. And now the goal for us is to sit down with our clients and show them the benefits of searching the that way they currently do, the model. And the real key is I don’t think any of them care whether or not they sell the vehicle to a co-partner. They sell it to the buyer and we end up being the re-marketer of the vehicle. Well that’s not the issue. The issue is today they use purchase numbers to decide whether or not to fix the car. In the U.S. we use [Pro Quote]. So in the U.S. every time an insured decides “Okay, do I have to repair this car or do I have to total this vehicle?” that decision is made based on looking at Copart’s Pro Quote value that says “that vehicle’s worth $8,700”. So we’ve got all the data. We’ve got over 100,000 cars in the data base already. So there’s plenty of data in the UK. We’ve got over a million vehicles obviously in the U.S. database, but over 100,000 in the UK so we’re more than able now to start delivering that information to them. And that’s going to be happening in the first quarter that we’re in now. So that we’ll start utilizing Pro Quote and you really couldn’t get them to switch much of their mix without that. So some of the companies that have switched are still using kind of the purchase valuation numbers. That’s really not the right way to do it. What you want to do is not use averages, you want to use actual numbers that tell you what that vehicle’s worth. So that’ll happen in this year. And so we’ll be doing a lot of the conversion in fiscal ’09. And then with respect to profitability a lot of the right sizing and consolidation of businesses will start to show in Q1, Q2, Q3 in the year as we go forward. So we had a lot of cost associated with the acquisitions and associated with the integrations and we chose not to break those out. So we’ve just absorbed those costs instead of having a non-recurring expense that we report. So we’ve chosen to absorb that cost and then you’ll see the benefits of all the work we’ve done in the year we’re in now, in fiscal ’09 with respect to profitability.
Robert Labick – CJS Securities: And then just speaking with the UK you discussed the conversion on the top five customers to fee base. From a modeling standpoint how should we go about trying to anticipate obviously revenues will change materially in that scenario?
Jay Adair: I want to make sure I’m clear on something. It’s not all top five. It’s one of our top five accounts switched over.
Robert Labick – CJS Securities: How should we –
Jay Adair: How should you remodel it? It’s tough to model but what you’re going to see is obviously a reduction in revenue going forward and then because of all the work we’ve done in the past year and getting the company on the right track, you’re going to see an increase in profitability at the same time you’re seeing a reduction in revenue. But it’s really going to be tough to model. I don’t know Will if you want to comment on that.
Will Franklin: Yes, it’s exactly what you said. We’ve probably got four or five different models that we look at for the UK just depending on the conversion rate and the timing of the conversion. And so no one knows. Jay just emphasized our efforts and the direction we’re headed. The timing of the change is unknown but the impact is just what Jay said. We’ll have a drop in revenue, a drop in cost of sales, an increase in margin percentage. And in terms of absolute margin dollars to the extent we have better yield on the fee-base contracts then we’ll have a benefit in that line as well.
Robert Labick – CJS Securities: As it relates to ultimate profitability of the UK business on a per car basis versus the U.S. down the road when all this is done, I’ll give you two years or so, how do you think about the ultimate per car profitability? Do you have gross profit on a car once it’s converted or what-not, down the road in the UK are the models similar enough that they should be –
Jay Adair: They’re fairly close but I think the big difference is that currently the average selling price in the UK is not at the same level as the average selling price in the U.S. And that obviously would have a negative impact if it stays the way it is currently. The unknown is how the BB2 effect will keep taking place. And so we’ve seen an increase in the average selling price in the UK now for the last five years, every single year. And we keep anticipating that at one point that will level off, but again more buyers, more international. And part of it is as we generate higher returns that we end up, if we sell the car for more money than insurers will potentially total more vehicles too because they’re getting more for the cars so it kind of increases the market. And then you get better vehicles and that increases the average selling price too. So we’re kind of in that mix right now in the UK, watching that, and the unknown is how long will that take place. Our hope obviously is we’ll see the same trend we saw in the U.S.
Operator: Your next question comes from Scott Stember – Sidoti & Company.
Scott Stember – Sidoti & Company: Could you quantify what the cycle time is for these non-insurance vehicles versus a typical insurance vehicle?
Jay Adair: Yes. A typical insurance vehicle is 60 to 90 days and the non-insurance is under 30.
Scott Stember – Sidoti & Company: And maybe you could talk about Copart Direct if there was any impact in the quarter or in general, your general thoughts about how things are going on that front?
Jay Adair: Yes. The two big pushes we’ve got right now really the CDS Copart Dealer Services and then Copart Direct and Copart Dealer Services saw a larger growth in the quarter than Copart Direct. But they both saw significant growth. It was in terms of quarter over quarter and year-over-year they both had growth in the quarter. It’s just that CDS currently is growing at a faster rate. As we go on and talk to dealers about bringing in those trade-in vehicles that fit our model into Copart, whereas Copart Direct is selling vehicles for the public. And we’ve done no national campaign. We’ve done nothing to really push that in terms of advertising. We’ve done very small, very, very small advertising because we’re really wanting to make sure we’ve got the model figured out completely. On the dealer side on Copart Dealer Services we’ve got that model figured out. So we are just pushing it out about as fast as we can, to be honest with you. So at this point it’s rolling out and they’ve got people in place and they’re going to continue to bring more, engage more people and bring more people on to work in that role. And I’m sure we’ll see growth in this quarter and the following quarter. Because it’s just continued to do that quarter after quarter.
Scott Stember – Sidoti & Company: What percentage of your locations have Copart Direct Services right now?
Jay Adair: Copart Direct is in every single location and Copart Dealer Services is probably less than half.
Scott Stember – Sidoti & Company: On Copart Direct could you talk about the margin profile of what you’ll be earning versus with the traditional business?
Jay Adair: Well it’s higher than the traditional business but I think Will’s really covered those points already. He hit them in really four major points and there’s no difference. They’re not towing the vehicles. The average vehicle is selling for more money. The fee structure’s a higher structured rate in what we’d offer to an insurer’s going to give us a $10,000, a $20,000 car a year allotment versus going in and getting one car at a time. You’re obviously not going to get the same pricing structure. So with all the things there and all the things Will had mentioned the margins will be better on that book of business.
Scott Stember – Sidoti & Company: Okay. And just talking about the catastrophe, if I was in business of the hurricane, in the past you’ve always said that net net, excluding a Katrina kind of hurricane then revenues would simply be offset by the costs involved. Is that the same thing here in this situation?
Jay Adair: Yes, you’re not too far off but I think if you want to compare Katrina to this cat it’s not going to be to that extent by any stretch. So you know costs will be covered a little bit of profit maybe generated. But they’re all incremental vehicles but there’s a lot of cost associated with handling those vehicles. But with that said not to the extent that we had in Katrina so it’s obviously not going to be the same scenario as that.
Scott Stember – Sidoti & Company: There’s been a lot of talk with scrap pricing falling in recent months. Could you possibly comment on what you guys are seeing there and what you would expect the impact would be on your guess?
Will Franklin: Yes. If you look at Q2 of the year, scrap was at about $300 a ton, $296 so roughly $300 a ton. If you look at Q4 it moved up to around $550 a ton in average selling price. So scrap’s obviously looking at the fiscal year it’s come up. The impact of that I think from an international standpoint is that you tend not to sell quite as many vehicles in terms of units internationally. But the average vehicle that they do buy tends to be a higher valued vehicle because the domestic players all get basically more aggressive and scrap those up on the junk, the low end, the really low end cars. But again we are looking at our business in terms of providing value to the insurers and to the rest of our clients. And scrap’s on the low, definitely on the low end of total value. The value that we add’s really on the mid to high end vehicles that we’re selling.
Operator: Your next question comes from Scot Ciccarelli – RBC Capital Markets.
Scot Ciccarelli – RBC Capital Markets: Jay can you discuss the impact of falling used vehicle prices if you think that may have had an impact on the business and potentially how much?
Jay Adair: It’s really hard to track used car prices. And the reason for that is Copart’s a lagging indicator. We are selling an average vehicle that’s about nine years old. And so when you start to get into a) the average vehicle’s nine years old and b) the vehicle we’re selling is damaged and so a lot of those vehicles are rebuildable vehicles but a lot of them are parts cars. A lot of those vehicles that are rebuildable are being taken to other countries. And so I get asked the question about the strengthening dollar and the falling dollar. And it’s really hard to track either of those at the end of the day. I mean it’s just kind of the nature of the world we live in. So I don’t know if there’s something specific you want me to try to give you but it’s kind of hard to give you a real answer to that. Do you know what I mean?
Scot Ciccarelli – RBC Capital Markets: I guess I was just trying to get any color you guys might have. With the way some of these vehicle prices have fallen it just makes more economic sense for I would think the insurance company to send it to the scrap heap as opposed to trying to fix it.
Jay Adair: Well if we’re talking about whether or not they’re fixing or totaling the vehicle, we’re not talking about the impact on the average selling price, that’s an easy answer. And the one to that is simple. If you’ve got a $35,000 vehicle today and that’s the ACV then obviously it’s an SUV and that vehicle’s now worth $30,000 or $25,000, well the repair costs aren’t going to change too much. As a general rule you’re going to see that vehicle that’s wrecked a year ago or is wrecked today and the same wreck’s going to cost roughly the same to repair. Labor’s not going to move much. Parts aren’t going to move much. And yet the ACV just came down from $35,000 to $30,000 or from $35,000 to $25,000 and we have seen some dramatic decreases like that in valuations in some of these trucks and SUVs. Now when that happens you just total more vehicles. I mean that’s a no brainer. Because if my repair costs on that vehicle is $20,000 and my salvage value on it’s $10,000 I may not total it at $35,000 ACV but if I can buy that vehicle as an insurer, write a check for $25,000 knowing that I’ve got $10,000 coming back, I’m out $15,000 versus $20,000 to repair it, I’m going to total that vehicle all day long. So in terms of falling used car prices it’s hard to track it to the average salvage price. In terms of the impact on totaling more vehicles there’s no question. As cars gain strength then you have more pressure on fixing the cars. As vehicles lose value then you have more pressure on totaling those vehicles.
Scot Ciccarelli – RBC Capital Markets: You had mentioned there was some consolidation of the UK facilities in the quarter. Will, were there any charges? Number one. And number two, were all the integration costs included in the [ignored] operations or were they reflected at the gross margin line?
Will Franklin: Right. There’s certain rules that you have to abide by when you take a hit. And we did charge everything in the quarter that was appropriate to be charge in the quarter. There will be some in our Q1 and there’ll probably be integration costs that will continue for a few quarters. The benefits from the changes were really not reflected much in the quarter. They’ll be reflected going forward.
Scot Ciccarelli – RBC Capital Markets: Regarding the UK is that all insurance business today? Or do you have some non-insurance business in that mix?
Jay Adair: It’s primarily all insurance. There’s a very tiny, tiny amount that’s non-insurance.
Scot Ciccarelli – RBC Capital Markets:
Jay Adair: That’s our goal. Yes.
Operator: Your next question comes from Matt Nemer – Thomas Weisel Partners.
Matt Nemer – Thomas Weisel Partners: So my first question was regarding the new volume sources that you’ve been talking about. Is there any way to give us a sense for the potential size of the opportunity from CDS to Copart Direct? And then the third category that I didn’t hear you talk about were non-insurance consigners like finance companies.
Jay Adair: I’ll do it in reverse order. The non-insurance on the finance companies we’re seeing a very material move in that business recently. We’ve actually promoted one of our execs to National Director for that. Just for that book of business. Just for going after the finance industry because it’s obviously a very appealing industry to us. We do very well with those vehicles. Hence the client ends up very happy with the results and the average selling prices. But you’re also seeing unfortunately due to the economy right now, you’re seeing an increase in repossessed vehicles. As we bring on those accounts they’re not only is that great but in the accounts we’ve already got we’re seeing an increase in volumes there. And when you talk about Copart Direct, Copart Direct is geared to selling vehicles for the public and that’s the whole purpose in it. A customer can dial 888-SellIt1 or they can go online and they can go through a process of selling their vehicle through Copart. And we’re doing very small, what I call very small numbers right now, learning the market. It’s profitable. We’re more than covering our overhead today so we are showing a nice profit in the business. It’s a good business. But at some point we’ll want to roll out advertising. We’ll want to go after that market in a different way. Your guess is as good as mine. I mean everybody in the U.S. that owns a car and wants to sell it I think is a potential customer. How much of that we’ll get will depend on traditional methods of using newspapers and magazines and trading your car in, etc. When you get to Copart Dealer Services, that’s a pretty finite number you can focus on. That’s well over 40,000 dealerships in the U.S. The dealer obviously is going to have varying amounts but 50, 100, 150, 200 trades will come in in a month. And we’re not asking for every single trade. We go in with the position of just send us your tired and your worn out vehicles, and those are the vehicles that we really, really shine at. Those are the vehicles that we really excel at. Our buyers love them. Often the buyers will end up buying other vehicles from Copart to work on those vehicles if maybe they’ve got a mechanical repair to them or something like that. So it’s a real complementary book of business. And in addition the dealers are becoming aware of us and a lot of the vehicles that we sell. And so they end up becoming buyers as well in addition to being sellers. But that’s a fairly large marketplace. My guess is that that book of business will become a material part of Copart, but I’m not really in a position to quantify how many units or how big it could get. But I think we’ve started the process of reporting the insurance and non-insurance and the reason we’ve done that is we think we’ve already seen that a material and not a volume today is non-insurance, it’s worth talking about. We will continue to see that push forward. And the potential in the marketplace is maybe one day half of our source is insurance and half is non-insurance. But it’s already material and I think it’s going to move more towards that over time.
Matt Nemer – Thomas Weisel Partners: As you grow these businesses are you willing to take a hit in profitability to market them if it’s short term? Or do you feel like you really want to protect the total company profit?
Jay Adair: There’s no need to do that in any of the businesses. And the reason for that’s really very simple. First of all, CDS doesn’t have any real great marketing at this time so you go out and explain what Copart is and you get volume and you start to sell. When you look at the same way with the bank business, the same way with repossessed vehicles it’s no different. When you get into Copart Direct, if you go out and spend millions of dollars tomorrow to drive volume, if it’s not going to drive volume then it doesn’t make sense. But if it does drive volume then you’re going to drive profit. So there’s really no scenario there where we’re going to be spending money and not making money. If we’re spending money and rolling it out then we’re generating profit.
Matt Nemer – Thomas Weisel Partners: I guess part of that is that you’re using search marketing so you’re really not paying for marketing unless you’re getting a hit.
Jay Adair: That is currently the case with Copart Direct. Not really with Copart Dealer Services or finance division or fleet division or any of the other divisions that are non-insurance related. Those are much more traditional work to market approach, whereas with Copart Direct yes we pay by the search. If it’s Google or Yahoo and if you’re going to be running ads in the newspapers or magazines or radio or television, then you should get direct correlation to the dollars you spend advertising in terms of assignments and vehicles sold. The key with Direct is really about finding out what people’s expectations are. For as much as we love Copart and as much as we can do a lot of magical things I can’t get high book on an SUV. The dealer won’t give it to you and you’re not going to get it in the newspaper and you’re not going to get it in the magazine. Well Copart can’t get it either. And what you’ll find today or what we find is you’ve got trucks and SUVs and these vehicles that obviously have lower mile per gallon scenarios where people are wanting to sell them. And if your expectations are right and reasonable with respect to book, then we can sell that vehicle and get you the right money. If somebody’s head’s in the clouds then we don’t want that vehicle. We don’t even want to get into a situation with processing that vehicle because the last thing we’re going to do in that scenario is make you happy. You’re going to feel as though you went through all this work and you didn’t get the vehicle sold. What we want is to find out where your expectations are at, make sure that we can run that against our database, see that we’d be able to exceed your expectations, and then we’ll have you bring the vehicle in. We’ll run it through BB2, call you up the next day and say “Boom! Here’s the amount. We can have a check in your hands today or tomorrow.” And that’s the selling pitch. That’s when people say “Wow! This is great.” That’s where the general public gets excited about the product. So long answer but I think you can tell we’re kind of excited about where we’re headed on some of these products.
Matt Nemer – Thomas Weisel Partners: There appears to be some movement in Washington around national title rules and I’m just wondering if that can have any impact on the ultimate value?
Jay Adair: That’s been going on for over a decade now so it’s nothing new. We have a government affairs department. I was out in DC about three months ago doing a tour of the Capitol. We spoke to a number of Senators and Congress men and women that are let’s just say aware of this bill, aware of their talks. There’s a lot bill that’s out right now. So where we think legislation will pass, we want to be involved and we want to have input and make sure that that legislation makes sense. But I don’t think there’s going to be a national title law passed, if you ask my opinion, in the next year or two or three. I just think it’s too difficult to try to convince the states to give up salvage. Currently it’s a state by state law, it’s a state by state decision and I just don’t see the states giving up that position and saying “Great! We’ll let the feds go ahead and deal with the salvage title laws.” It’s not going to happen.
Matt Nemer – Thomas Weisel Partners: Just to think through the potential impact, even if it’s remote, does it make sense that it could lower the value of salvage vehicles?
Jay Adair: I don’t think so because the bill I’ve seen for all these years has always been wrapped around like a 75% damage waiver with respect to damage. And the fact of the matter is most of the states are at this point regardless of the percentage of damage, the majority of them are if you total it you have to get a salvage title regardless of damage. If the feds come in – again it’s so minute it’s just hard for me to even really get excited about talking about it. But if they were to come in and they were to do something like this, they would definitely set a threshold, because everyone is going to argue, “Well, wait a minute. If you’ve constructively totaled a vehicle because you’re repaired it and the insured doesn’t want it, and they’re not happy with it because as far as they’re concerned that vehicle wasn’t repaired maybe 100% of what it was, and so the insurance company for whatever reason just decides “Okay, we’ll go ahead and total that vehicle”.” Does that make sense in that scenario to have a full branded salvage title? No. That may be a different level of title. And then you may have a scenario where a vehicle’s got – some states have junk titles and some don’t. So it’s such a state by state issue I just don’t think it’s going to become something that’s federal.
Operator: Your next question comes from Craig Kennison – Robert W. Baird & Co. Inc.
Craig Kennison – Robert W. Baird & Co. Inc.: Will, during Hurricane Katrina as I recall there were several extraordinary costs that were flushed through early in the process and so you really your costs did not match your revenues early. Is that going to recur here with Ike or is that not material?
Will Franklin: I don’t see that happening here. I don’t see the costs being nearly as extensive as they were with Hurricane Katrina. I anticipate that we’ll see the costs flow through when the car is sold and not accelerated into a different period.
Craig Kennison – Robert W. Baird & Co. Inc.: And then you did address this deal scrap issue. Just wondering if you can quantify in any way what impact it actually had on your overall growth? Was it 1% or 2%?
Will Franklin: That’s very difficult to quantify. There’s so many different elements that influence growth and that’s just one of them. And I think Jay pointed out the impact that is very obvious and that’s just who our buyers are. As scrap metal pricing increases these cars become more attractive to domestic local buyers. And that’s reflected in our percentages.
Jay Adair: I think those vehicles were going to get totaled anyway because you’re talking about the very bottom end of the market when you get into scrap values. Scrap’s obviously not going to be a factor when you’re rebuilding the car. So I don’t think you’re going to see a big change or shift in terms of totaling more vehicles because scrap’s gone up, in other words.
Craig Kennison – Robert W. Baird & Co. Inc.: With respect to the three sites that you consolidated in the UK. What actually did you do with them?
Jay Adair: We gave them back to the landlord.
Craig Kennison – Robert W. Baird & Co. Inc.: On the litigation front can you give us the status of your lawsuit with Auto IMS and really what it means to Copart?
Jay Adair: No I don’t think I want to comment on that today, Craig. We’re obviously – we believe in what we’re doing. We’re going to continue aggressively to pursue that. I don’t really want to comment at this time for legal reasons.
Craig Kennison – Robert W. Baird & Co. Inc.: Can I ask if there’s a timeline or is that not –
Jay Adair: No I don’t think that that would be a very good thing to say either. So I’m just going to stay away from that question.
Operator: Your next question comes from William Armstrong – C.L. King & Associates Inc.
William Armstrong – C.L. King & Associates Inc.: Just on the UK revenues, $47 million was down sequentially from the third quarter. Was that due to the higher percentage of fee based vehicles or were there other things going on there?
Jay Adair: We just sold more vehicles in Q3. Will did you want to comment on that?
Will Franklin: Yes I mean there’s a seasonality to our business and our third quarter’s always the highest in the UK and the U.S. In addition in our second quarter of this year in the UK we actually deferred some sales and so those sales that would have ordinarily been, or in other situations would have been in our second quarter were recognized in our third quarter. And so that makes the change between our third and fourth quarters appear higher than it actually was.
Jay Adair: It will impact third quarter of the current year we’re in as well. Because we won’t do that this year. We’ll be selling vehicles as they come in. Last year for conversion reasons we held the vehicles back.
William Armstrong – C.L. King & Associates Inc: And the three sites that you closed in the quarter, would that have cost you any sales? Or were you able to shift all of that business over to the remaining sites?
Jay Adair: Yes we did move the vehicles around. So we didn’t stop from selling cars. We sold everything we had.
William Armstrong – C.L. King & Associates Inc: Okay. So just to recite that the close shouldn’t going forward shouldn’t result in a lower overall level of business?
Jay Adair: No they have no impact on the number of units we’re selling. It’s simply just a logistics decision. Too small of size, not well located, the position wasn’t properly located for us. Those kinds of decisions.
William Armstrong – C.L. King & Associates Inc: And then just a clarification. I think Will in your prepared comments I just want to make sure I heard this right. Did you say that 70% of the vehicle units in the UK were purchased in Q4 versus 73% in Q3?
Will Franklin: That’s correct.
Operator: Your next question comes from [Unidentified Analyst] – BB & T Capital Markets.
Unidentified Analyst – BB & T Capital Markets: You announce you’ve been in the UK for a little bit over a year. Just curious has there been anything about the market dynamics there that have really surprised you relative to your initial expectations going in?
Jay Adair: No. I think we’ve loved the experience. It’s been really enjoyable to learn some of the differences in the market, some of the nuances. I think we’re more excited than we’ve ever been because the opportunity again looking at the effect of BB2 and the increased sale prices give us the opportunity to make it a transparent market. And just all those things that we’ve done in the past. We’re excited about that. And then there’s some things that they’re doing in the UK like engineering, the way that they handle engineering that we’re looking at in the U.S. So it’s really great. And then of course you’ve got the cross pollination of buyers that’s been nice. So we’ve been able to implement our systems and then bring a lot of the buyers in the UK to the U.S. and bring U.S. buyers into the UK. And then of course Eastern European buyers into both markets. So overall it’s been great. It was interesting to me to see the UK finally became one of the top buyers in the U.S. It had never been on the list before. So some of those experiences have just been terrific.
Unidentified Analyst – BB & T Capital Markets: Could you provide a little more detail on the reporting structure in the UK and access at the [inaudible] level? How this compares to what you have here in North America? And then also could you provide a little more color maybe on some of the changes you’re going to make on the inside in the UK to move the model more towards their variable sense and kind of away from the fixed [odd]?
Jay Adair: I guess I can comment a couple of things on that. The variable cost component of that we have right size all of our yards with respect to staff and trucking and I think we’re where we need to be. We’re happy with where we’re at. We’ve got great staff, great people. And I don’t see any real changes there going forward. So we’re going to run the business the way we’ve got it. We’ve got it running the way we want. We’ve got the systems in place. We’ve got the right structure in place. Things are good. With respect to reporting lines and the structure it’s really a component of same structure different titles. So whereas we have EPs in the U.S. we have directors in the UK. But really it’s the same functionality. We’ve got directors of sales and marketing and IT and finance and you name it. So all of these different directors are running the points of the business. And then they report up to the managing director in the UK who then reports up to the parent company in the U.S. We’ve got a great team in place. I talked about it in Q3. [Nigel Pagett’s] running the UK for us. He’s doing a great job. A great relationship with the employees and with our customers, both internal and external. So everything is really right in line. I think the timing is about what we thought. If we had just made one acquisition then sure we’d be further ahead. But to make four acquisitions and to do the things that we’ve done and to implement the systems we’ve done. And the timing’s about where I thought it would be. I think we’ll be miles ahead of where we’re at today a year from now. But I can’t say I’m disappointed with anything. It’s all gone well and there’s really been no surprises per se. It’s all been really good.
Operator: And there appear to be no further questions at this time.
Jay Adair: All right. Again thank you for joining us on the call and we look forward to reporting on the first quarter results in the coming months and we’ll look forward to building a great company and continuing on all the work that we’ve done and we’ll talk more on the next call about Hurricane Ike and Houston and updates in that market as well. Thanks again. Bye bye.